Masakazu Negoro: Let me explain the first and second items of today's content, which will be followed by President Hasebe's presentation on the progress of our midterm plan K25. Since today's presentation materials are lengthy with 65 pages, I will spend about 20 minutes focusing on the key points. Please refer to Page 5 of the presentation material. First of all, we have decided to revise the full year operating results forecast announced on May 10. In order to improve earnings and strengthen business foundation in the midterm, we are undertaking structural reforms this year. We will be posting approximately JPY 60 billion in expenses. The contents of the reform are centered on the 3 measures listed here. I will explain this in the latter section. By the way, we will refer to the profit, excluding the structural reforms as core income from here on to facilitate comparison with the previous year. Please turn to Page 8. Highlights of consolidated financial results. Net sales grew 0.6% to JPY 738.5 billion. In real terms, excluding exchange rates, net sales decreased by 2.3%. Core operating income was JPY 34.5 billion, down 35.8% year-on-year. Core operating margin was 4.7%. The difference of JPY 8.6 billion between core operating income and operating income is the restructuring charges. Core net income attributable to owners of the parent was JPY 26.3 billion, a decrease of 32.3% year-on-year. Core earnings per share was JPY 56.63. The interim dividend will be as planned JPY 75 per share. Please turn to Page 9 next. Key points of first half results. As shown here, sales and core operating income were down in the first half. But if you look at the second quarter alone, it was better than planned. We believe first quarter was the bottom, and we have now come to a tipping point for a turnaround. In Household and Personal Care business, amidst the market recovery, we have maintained our volume year-on-year. And despite the price hike, we were able to exceed the rise in the raw material cost. We exceeded our plan, and this is a significant change. Our priority products also grew substantially. Those are the 2 major changes in the Household and Personal Care business. With regards to cosmetics business, in addition to the growth of G11 in Japan, the rebranding of freeplus in China proceeded smoothly. With the European market also recovering, volume increase is contributing to the profit. In Chemical business, while the demand recovery from the United States and European markets are slower than expected, we are beginning to see some improvements compared to the first quarter. As structural reform cost, we booked JPY 8 billion in impairment losses and other costs associated with the termination of the local production of baby diapers in China. We also booked JPY 0.5 billion as a structural reform cost for cosmetics. Please turn to Page 15. This is a graph on year-on-year changes in operating income in Q1 and Q2. Green is positive and gray is negative. If you look at Q2, household and personal care business has raised prices while maintaining the volume, generating JPY 4 billion in profit. In this sense, you can see an improvement from Q1. In cosmetics, the branding of freeplus has led to a temporary price decline due to the sell-off of all products, but JPY 4 billion in sales volume increase also contributed. Minus JPY 6.5 billion in SG&A expenses is due to the comparison with the previous year where there was a lockdown in China in the second quarter, which almost halted sales. And as a result, sales promotion expenses were also suppressed. Please turn to Page 19. This data underpins the changes in Q2 that I wanted to communicate to you today. In the Fabric and Home Care business, which is our stable earnings area, Attack and CuCute, which has strong brand equity, have increased their market share despite the price hike. Similarly, in the skin care business, which is our growth driver, the share of Biore UV and makeup remover in particular, is picking up despite the rise in unit prices, which rose by 10%. Please turn to Page 20. Meanwhile, we are seeing improvements in the underperforming businesses as well. We are taking on the challenges of improving profits and increasing market share by renewing marketing methods and introducing new communication methods, and we are beginning to see results. In Laurier as we had reported earlier, we are steadily picking up market share by promoting the Laurier in the workplace initiative. The new Essential barrier series of in-path hair care products has gaining sellout, thanks to the social media and video postings by high-impact influencers. We want the number one word-of-mouth ranking in the shampoo conditioner category of at Cosme between March to May. Humming's brand recognition has also grown. And after the launch of the improved product in April and May, this brand has gained market share while raising prices. The Apache explanation of Q2 financial results. Next is on the revision of consolidated earnings forecast. Please turn to Page 26. As I mentioned at the outset, we are revising our consolidated earnings forecast. JPY 60 billion will be used as expenses for structural reforms, which will result in continued profit improvement effect of approximately JPY 30 billion from 2025 onwards, and this will strengthen our business foundation. We determined that now is the time when we are starting to shift towards the upward trend to implement structural reforms to put the company on a new growth trajectory . The plan is the bottom out in 2023 and lead to a reshaped recovery in 2024 and beyond. President Hasebe, will explain the details of the plan later in this presentation. Please turn to Page 27 for the overview of structural reforms. There are 3 pillars to the structure reform. A drastic strategic review and reorganization of inefficient businesses, structural reform of the human capital and reform of earning power. I will explain the details one by one First, we -- on the drastic strategic review and reorganization of inefficient businesses. As I mentioned at the February financial results meeting, -- in introducing ROIC, or ROIC by business, we will strengthen monitoring of each business, set criteria for judging business continuity and discuss and make decisions based on them. By doing so, we will be able to improve the profitability and efficiency company-wide. We are discontinuing the production of baby diapers in China at our own factory. However, we are not exiting from the China market. We will continue with the business as we have been maintaining our export competitiveness from Japan. We did record an impairment loss in the second quarter. In the domestic production system, we will continue to study the optimization of the production system and basis and to implement necessary measures and reforms for the coming years. And this is not limited to diapers. We are reviewing all other production bases in a similar manner. Furthermore, we will review brands other than diapers from the viewpoint of ROIC, ROIC including consolidation of the products. When we reach an appropriate stage, we will report and explain in a timely manner. Next, for promoting structural reform of human capital as part of the effort to accelerate globalization, Kao will promote the revitalization of our employees and improve the efficiency and competitiveness of our human resources. To this end, we will actively develop and promote human resources who are motivated and capable of contributing to business expansion. And at the same time, we will enhance support for the expansion of new fields and opportunities for them to thrive by taking advantage of the individual skills and diversity. With regard to reform of earning power in order to hold the deterioration of and improve the gross margin, we will make a clear distinction between areas where we need to review our cost design philosophy from the ground up and areas where we need to promote further value-added activities, so we can make prioritization in our pursuit for reforms by enhancing the management of SKUs, and the process is directly involved in manufacturing, we will also concentrate more on creation of values while reviewing quality to ensure that those products are of appropriate quality and price appropriately. Please turn to Page 28. I will go over the forecast for consolidated results of fiscal year 2023. Net sales remain unchanged from the initially announced figure at [inaudible] JPY 580 billion. So there is no change, except for the structural reform cost of JPY 60 billion. The core operating income is expected to be JPY 120 billion. Basic core earnings per share, JPY 189.3, up 3.3% year-on-year. Cash dividend per share also remain unchanged at JPY 75 at the interim and another JPY 75 at the end of fiscal year, totaling JPY 150 for the full year. Please move to Page 30. First, on the top chart showing the second half. We expect no increase or decrease or 0 in impacts from raw materials. With regard to strategic price increases, JPY 19 billion is expected to be passed on to prices. In other words, about 2/3 of the JPY 29 billion difference between JPY 56.4 billion for the second half of fiscal 2022 and JPY 85.5 billion for fiscal year 2023 will be contributed to by the strategic price increases. As per volume, a positive impact of JPY 5 billion for cosmetics and a negative impact of JPY 1.5 billion for H&PC products due to price increases are expected. In Chemicals, there will be a rebound from the decline in profits in the second half of fiscal 2022. In Europe, volume increases and profitability improvement of about JPY 7 billion is incorporated due to new facilities of tertiary amines and aroma chemicals coming online. As a result, we expect the core operating income in the second half to go up by JPY 29 billion to reach JPY 85.5 billion. Structural reform cost was JPY 8.6 billion in the first half, while in the second half, it is assumed to be JPY 51.4 billion, pushing down the operating income to JPY 34.1 billion. Looking at the bottom chart, for the full year, the core operating income is expected to go up by JPY 10 billion year-on-year to total JPY 120 billion. But due to the decisive execution of structural reforms, the operating income would wind up with JPY 60 billion, down JPY 50 billion. Next, please look at Page 31, changes in raw material prices and effects of price increases. The rise in raw material prices is expected to be about JPY 10 billion, a decrease of JPY 2 billion from the last announcement. On the other hand, strategic price increases are expected to total JPY 30.5 billion for the full year, with which we plan to make up for about 80% of the cumulative rise in raw material prices since 2021. The effects from price increases matters a lot as to whether we can achieve our target increase in core operating income of about JPY 10 billion. As you can see in the chart on the right, FX of price increases on year-on-year profit improvement have been beginning to be observed from the second quarter. And given that in the second half, raw material prices are expected to go down from the previous year. The target number is sufficiently achievable. Please turn to Page 32 for measures in the second half. The markets are showing the trend of recovery except for China. In particular, in the Japanese market, while sunny and extremely hot weather continues, opportunities to go out are increasing, leading to strong performance of skin care, including UV care products and styling products. As part of measures to increase profits in the second half, we will implement further strategic price increases by expanding products covered. New value will be offered through new products incorporating Kao's original technologies. As we announced at the press briefing the other day, we will launch Attack ZERO perfect stake on a nationwide basis on August 5. We will also launch CuCute Ecopeco Bottle. We feel pack with thinner container materials, new products of Humming flair as well as improved products for Essential THE BEAUTY, hair repair series in August to proactively approach the market while engaging in ongoing cultivation of well-performing Biore products. Moving on to Page 33. We held a press conference releasing a new product on July 27, which is equipped with Kao's original technologies. For instance, we developed powder with a halo structure to make it highly soluble, which is one of Kao's original technologies. We also applied coating to the surface of the powder to prevent solidification. This is an amazing detergent with an overwhelmingly strong cleaning power that goes beyond liquid detergent. Together with deodorant and antibacterial functions. I do hope you will try using it once. Please turn to Page 34, which is about cosmetics business. The cosmetics markets like H&PC markets are on the recovery track, especially in makeups, -- though the recovery in the Chinese market is still mild. In Japan, Prestige brands are aiming for a strong growth outpacing the market. As for KATE, we're now ready with increased production system of LIP MONSTER and will make active promotions. Moreover, in response to inbound demand, each of the brands, including suisai, is planning to take measures such as communicating information through key opinion leaders or launching special editions. In China, we will respond to changes in the distribution environment and step-up measures for Singles Day while striving to recover market share through freeplus rebranding and evidence-based marketing. In Europe, we will work to enhance the brand equity of SENSAI. Last but not least, on Chemicals business, it took long to adjust inventories, especially in Europe, but in the U.S., we are finally seeing signs of recovery in demand from the third quarter, including Europe, we are expecting demand to recover from the fourth quarter. As for measures to increase profit in the second half, new facilities for highly profitable products with sustained excessive demand, tertiary amines and Aromo chemical, MDJ, methyl dihydrojasmonate are scheduled to start operation in the third quarter. By selling them, we can contribute to overall profits. As reported today by newspapers, the [inaudible] has been pushing up visible oil prices more recently. On top of that, with the El Nino phenomenon, prices of fats and oils have become more likely to go up in recent days. And so we hope not to miss the opportunity to carry out additional price increases for further improvements in profits. On the other hand, high value-added products are expected to expand steadily. And as shown in 2 of the examples here, we will aim to achieve a comeback by launching new products with the world's first technological developments. And that is all from me. Thank you for your attention.
Yoshihiro Hasebe: I will now explain the status of the midterm plan, K25 and the newly established K27. The order of the discussion will be overview of structural reforms, growth strategy and business portfolio. First, please turn to Page 38. We have described the main reasons for the deviation from the plan. K25, which started with operating income of JPY 175.6 billion was affected by external factors such as the pandemic and sowing raw material prices exposing cause weaknesses. The loss of inbound demand and changes in the Chinese market over emphasis on the Japanese market and China-related demand business and sales prioritizing expansion of sales and market share and delays in strategic transformation of underperforming categories. In light of the situation, we are implementing countermeasures such as strategic price increase, concentrating investment in growth areas and strengthening TCR activities and streamlining fixed costs. However, we were unable to stop the decrease due to the shortfalls in the new product plan and delays in building new businesses. Please turn to Page 39. Based on the setbacks of these past few years, we have clarified the specific growth trajectory. We are pleased to present K27 a revision of our midterm management plan K25. While our vision and basic policies remain unchanged, we are introducing ROIC as a company-wide financial indicator to decisively implement structural reforms. We aim to be a company that excels in global leading edge business. As a term that symbolizes this ambition, we are newly adopting this term global sharp top to clarify our growth trajectory. The term niche top is generally used in the chemicals industry. But since the niche is a gap, we are not aiming for that gap. Rather, there are important issues that exist at the core, and we want to be sharp and be at the top in this area. In this sense, we use the term global Sharp top. Please turn to Page 40. We hereby present our goals for K27 once again. To improve capital efficiency and strengthen global expansion in the future, we will set 2 indicators, ROIC and global growth. Instead of simply setting targets in terms of sales and operating income as in the past, we will clarify outcome on investment. For fiscal 2027, we will aim for ROIC of 11% and above, which is an EVA equivalent of JPY 70 billion or more. We are also committed to achieving record operating income. Furthermore, we aim to increase our current sales outside of Japan of JPY 674.5 billion to more than JPY 800 billion. The above ROIC and EVA and operating income targets are the targets for Kao Group as a whole, but the top line will prioritize overseas. In terms of 2025 estimate, we are aiming to exceed the figures shown here. Please turn over to Page 41. We present the road map for K27 here. First, through the structure of reform, we will strengthen the competitiveness of our core businesses all at once. In parallel, we will promote global expansion of our growth driver areas. The 3 businesses listed here will be explained later. With regards to the growth strategy to, at the very top, corporation of businesses with our partners, we will realize profits from next year from 2024. In particular, we expect to announce our plan for co-creation with top companies in the industry under the Kao in the near future. From here, let me add on to Negoro's explanations on the structural reforms on strengthening competitiveness for mainstay businesses. Page 43 and 44 are the same as those explained by Negoro, so let me skip them here. Please look at the contents of Page 44 and 45. This is the envisioned progress of K27 what we will implement this year in terms of structural reforms. We aim to increase ROIC from 7.8% in 2022 to more than 11% by 2027. In terms of EVA, we aim to increase the value from JPY 14.7 billion to more than JPY 70 billion, JPY 70 billion. The impact of raw materials is estimated based on the assumption that the situation in 2023 will not change until 2027. As for the operating income, it is comprised by more than JPY 30 billion from structural reforms and more than JPY 60 billion, JPY 60 billion from growth strategies. The efficient total amount is more than JPY 90 billion. To explain this from a different perspective, compared to 2023, we are aiming for more than JPY 20 billion in stable earnings and more than JPY 70 billion in growth driver, et cetera. Please look at Page 46. We will explain the breakdown of our medium-term capital policy. Operating cash flow is expected to be about JPY 1.1 trillion over the 5 years starting in 2023. But the breakdown between shareholder return, CapEx and strategic investments will be about the same ratio. For M&A, we are considering the use of debt within the scope of maintaining our AA ratings. By investing and transforming into a stronger business, we will allocate our resources to growth drivers, new businesses and digital that are the seas of the future core businesses. If on top of that, we have surplus funds. Then, of course, in light of the cash flows and cash positions, the company will do buybacks as part of a return to the shareholders. Please turn to Page 47. I K27 is a plan to fundamentally reexamine the delays in global expansion and the deterioration of capital efficiency. We will take measures to grow globally while solidifying our domestic operations. We will undertake fundamental management reforms, including changes in the corporate culture. We will also take new approaches in the new business areas. Next, I would like to add more explanations to the global expansion of growth driver areas. Please turn to Page 49. We have broken down and explained these 3 business areas separately from before. In the area of business transformation, aside from the major structure reform centered on baby diaper this time, in the hair salon products, hair care and sanitary products, we are promoting reform through changes in strategic and tactical approaches rather than business structural reforms such as impairments. So far, we are making a good progress in reform, and we are beginning to see good prospects, in particular, for sanitary products and Hair Care products. Amongst these businesses, the hair care business as a whole has the potential to become essential for global growth. Let me present our policy for the three businesses of skincare, cosmetics and chemicals, which are our growth drivers. The first business I want to explain amongst the growth driver is the skin care business. Protecting the skin from the external environment is collectively referred to as skin protection, and we would like to treat this as a leading-edge area. Within many skin care categories, given the future global warming and expansion of the diseases, protecting your skin is an extremely important category. The so-called UV care to protect people from the UV rays and self-tanning to create Tan skin without being exposed to the sun and protection from environment-related risks such as pests and allergens. These are the 3 categories that we will become increasingly important for us. We define them comprehensively as skin protection. Against these critical needs Kao will be aimed to be a global shock top by providing leading-edge sharp solutions. To globally roll out the UV care products, as written on the very left, Kao has been working fast establish technologies for even and long-lasting coating with good feel on the skin. This has required a substantial amount of time for development, but we are finally ready to deploy this in all the markets that we are in globally. We are almost finished with the acquisition of intellectual property rights for a wide variety of formulations required globally and for area-specific laws and regulations. We are ready to embark on expanding our business foundations in Americas and Europe. Biore UV care and Jergens soft tanning will be the business foundations. With an addition of protection from environment-related risks, we will strive to achieve an obvious global top class by 2027. Please turn to Page 51. This is the Map of global rollout with just UV care and soft handing in skin protection. A new force that will accelerate this is the acquisition of Bondi Sands announced on August 1. Bondi Sands has a strong brand equity in Australia and continues to grow in Europe and North America even today. With the addition of Kao brand, the goal is to achieve an indispensable global position from premium to mass by 2027. Already, we are seeing very encouraging growth in the United Kingdom and Brazil. Next, please turn to Page 52. We do not intend to promote globalization by simply improving the existing marketing. Obviously, that is important, but we plan to attempt to execute clearly evidenced-based new precision marketing that will allow us to have bilateral interactions with customers. As shown in this diagram, our skin protection has 3 core ease of application, evenness and duration and feel However, up until now, we have demonstrated them depending solely on the customers' perceptions or images and then feeling good using our products. In the skin protection business, the key is to get customers to recognize that solid protection is provided effectively on a quantitative basis. In addition to image oriented marketing, Kao will make solid evidence-based marketing, a core in its globalization efforts. The 3 high functionalities shown on the left will use image monitoring that will allow customers to fuel protection in high precision and RNA monitoring that can even verify reactions from human bodies that match personal attributes as communication tools to support them. How evenly the product has been applied and how long it will last can be shared with everyone with a very simple tool. The point of this precision marketing is that it will be impossible to pursue this without the scheme protection coating film with high degree of completeness or visualization of absolute values. Moving on to Page 53, Cosmetics business. We're going to have a briefing on this business separately next month, so I will be brief here today. We have been developing G11 globally growing brands as our focus in brand development. They already represent more than 70% of the total sales. First, runners that facilitate global growth are Curel, SENSAI and MOLTON BROWN. We will establish regional portfolio strategies while making strategic investments in key brands. Among G11 brands. Second runners such as KATE and KANEBO are also growing steadily. Please move to Page 54. The 3 first runner brands will expand their presence from core areas to include other countries and areas in an accelerated manner. SENSAI and MOLTON BROWN will be expanded to prestige markets in China and Asia, while Curel will be expanded to target people worldwide who suffer from dry sensitive skin, especially in markets of the Americas and Europe. Moving on to Page 55. SENSAI and MOLTON BROWN are originally based on the brand identity and Kao Group's comprehensive strength. SENSAI identity is the abundant use of leading-edge ingredients and realization of skin care to ensure silky smooth finish. MOLTON BROWN's commitment is Luxurious fragrances and its universe continue to be loved by the British people. Turn to Page 36, please. On the other hand, as for Curel, its origin is technologies born to resolve skin concerns using Kao's ceramide research as a core. We believe those with skin concerns will increase globally due to various environmental changes. The precision skin care or scheme monitoring technologies that I mentioned earlier, is going to become exactly the kind of tools that will be effective for users to see if the product is fit for their own skins. This is not limited to the UV care mentioned earlier, but its universe will be expanded to make it possible to see the condition of the skin in the form of desal data quantitatively. Please turn to Page 57. This is about chemical business. Last time, [inaudible] gave you a very detailed presentation on this. And so I would like to make some additional comments. This is a business closely related to solving environmental and social issues that are happening on a global scale. As we pursue ESG initiatives, it will become a very important business by becoming a top runner. We have been explaining about it by classifying it into 3 groups: fundamental businesses providing for profit-making stages, strategic businesses serving its next profit-making stages and new businesses. Please move to Page 58. The chemical business is the one already practicing global shop top. It has become a business entity consisting of many of the world's and Japan's top group businesses. In other words, this business will spearhead the global expansion of Kao's Consumer Products business expected to make progress going forward, please then to Page 59. In order to achieve the global sharp-tos, Kao must have one-of-a-kind technologies which as possible. For example, to contribute to smart agriculture and environmental preservation, as mentioned here, drone spraying, which is effective with less amount of water and agro chemicals can only be achieved by utilizing Kao's microservice science technology. I would like to tell you all that smart agriculture has now become one of the national strategies in an increasing number of countries, thus attracting great attention. And adoption of Asphalt Modifiers made from waste PET is accelerating as they address enhancement, the resilience of aging road infrastructure and environmental issues. Page 60, please. This is a new piece of information. One of Kao's technologies, which is indispensable for 6G semiconductors has been confirmed for use by a major company. Kao's hydrophobic modified cellulose nanofibers, which we have been researching for many years, are also being adopted for applications in mobility, home appliances and construction materials. The adoption in these cutting-edge fields has led to the maximization of high value added, making Kao's technologies one of a kind. Our technologies are not just used in home products, but have been refined in chemical products and some one-of-a-kind technologies are beginning to become global short top businesses. This is what I wanted to share with you. Please move to Page 61, which is the last page for the Chemical business. This is what needs to be communicated to you. That is further bolstering of strong businesses. Tertiary Amines business is aiming to establish a firm number one position in the global market in terms of volume by strengthening the 3 region structure and rolling out products that meet customer needs. Our current global share is 35%, and we are striving to increase it to more than 40%. Now let me sum up what has been discussed so far. Please take a look at Page 62. Lastly, the overview of K27 growth strategy targets by dividing our businesses into 2 areas, stable earnings represented by Fabric and Home Care and growth drivers, we have shown the targets of each business in ROIC or ROIC. Target growth in the operating income as compared to 2022 is JPY 20 billion or more and JPY 70 billion or more, respectively. Although we did not mention today, there are numerous businesses that are expected to start next year in the areas of co-creation with industry-leading players. In this table, co-creation area is what I'm referring to. So far, we have been conducting those businesses directly under our own brands. But in stable earnings fields, for instance, there are home appliances and household use products and in growth driver fuels, there are vector-borne diseases, beauty appliances and beauty clinics as adjacent areas. By collaborating with strongly industry-leading companies in those areas, we will be in a position to share with you some of our big businesses starting from next year. Now please move to Page 63. As we aim to be a company that sustains global sharp top businesses, we are currently working to make in-depth communication of this corporate direction to every employee in the company. To that end, we believe we need to take rapid and decisive actions on structural reforms to eliminate any constraints in global growth. And I would like to share with you today the two specific outcomes recognized by us and stock management. As explained a bit in February as well, please take a look at the left chart first, which is business reform to emphasize profitable growth. Previously, there are not a few cases where businesses to maximize brands and sales activities to maximize each of the retail chain outlets failed to be aligned. However, by pursuing maximization of results by both brands and chains through ROIC management, activities have become integrated rapidly, producing tangible results steadily. All the data input in form have been integrated internally and made visible on a weekly basis by businesses and by chain. Thus, our day-to-day activities and how they are playing out can now be managed on the ROIC basis, providing performance indicators for businesses. And the outcome has been reflected in our success in passing on cost increases to prices. The other is improved results for new products. The development, which required a lot of time and efforts under the previous department management method has been transformed to task-oriented scrum method. Kao conventionally had been based on Matrix-oriented operation, but this was not speedy enough. Therefore, teams with delegated responsibilities have been established, resulting in activities with rapidly enhanced speed and levels. If you look at recently launched products [inaudible] , you may be able to see how we have begun to change ourselves. I believe this has led to the transformation of the mindset essential for us to aim for a global short-to company. Lastly, please turn to Page 64. Once again, we're showing targets of 2027 based on the results in 2022. -- financial targets will be steadily improved in terms of ROIC and EVA. Based on that, we will clearly regard global businesses as our growth trajectory. By carrying out the JPY 60 billion structural reforms, we will completely get rid of all the previous drags on the business performance and move ahead with commitments to global growth. Finally, as shown on Page 65, on September 26, we will hold cosmetic business and mass market skin care business grow strategy briefing separately for our growth businesses. It will be highly appreciated if you can attend it in addition to the briefing on Chemicals business already held in June. That is all. Thank you for your attention.
Operator: [Operator Instructions]
 :
 :